Operator: Good day, everybody, and welcome to the Movado Group, Inc. Third Quarter 2023 Earnings Conference Call. As a reminder, today’s call is being recorded and may not be reproduced in whole or in part without permission from the company. At this time, I would like to turn the conference over to Rachel Schacter of ICR. Please go ahead.
Rachel Schacter: Thank you. Good morning, everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer and Sallie DeMarsilis, Executive Vice President, Chief Operating Officer and Chief Financial Officer. Before we get started, I would like to remind you of the company’s Safe Harbor language, which I am sure you are all familiar with. The statements contained in this conference call, which are not historical facts, maybe deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company’s filings with the SEC, which includes today’s press release. If any non-GAAP financial measure is used on this call, a presentation of the most directly comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now, I’d like to turn the call over to Efraim Grinberg, Chairman and Chief Executive Officer of Movado Group.
Efraim Grinberg: Thank you, Rachel. I would like to welcome you to Movado Group’s third quarter conference call. With me today is Sallie DeMarsilis, our Chief Operating Officer and Chief Financial Officer. I will first review the highlights of the quarter and the current operating environment. Sallie will then review our financial results in greater detail as well as our outlook for the balance of the year. We would then be glad to answer any questions you might have. Since we last spoke to you in August, we have seen a substantial change in the operating environment. Globally, we have experienced high inflation and the unfavorable currency rates and unfavorable currency rates, both of which further intensified during the third quarter. In addition, we have seen European and American consumers begin to reduce their purchases of discretionary items as inflation has taken its toll on their buying power. Within this environment, our teams have done an excellent job of executing against our strategy and managing our expenses to deliver strong results, particularly on a currency-adjusted basis, despite the prevailing headwinds. For the third quarter, our sales were $211.4 million versus $217.7 million last year. On a currency-adjusted basis, our sales actually grew by 3.4%. We delivered strong gross margins of 57.3% despite the currency headwinds. Adjusted operating profit declined by 7.8% to $38.9 million, however, would have increased on a currency-adjusted basis. Our adjusted earnings per share for the quarter were $1.31. Additionally, our balance sheet remains strong with $187 million in cash and no debt at quarter end, while returning $51.8 million to our shareholders through share repurchases and dividends since the beginning of the year. In the United States and Europe, we have seen inflation of everyday goods and higher energy prices begin to take a greater toll on consumers’ purchasing power and we expect that trend to continue for the balance of this year and into next year. While our U.S. sales declined by 5.9% as consumers and retailers pulled back on their purchases, our international sales grew by 10.2% on a constant currency basis. Our international sales are now almost 2x larger than our U.S. wholesale business. In our outlet business, which includes both our brick-and-mortar businesses and our digital format, we saw a mid-single-digit increase in sales. Given prevailing currency rates, economic challenges in Europe, certain in the uncertain retail environment and continued challenges faced by consumers, we are approaching the fourth quarter with caution. In addition, last year was a particularly strong holiday season with less competition from travel and dining. The consumer was in fantastic shape, and they were being urged to buy early or take the risk that retailers would run out of best-selling products. Today, the environment is completely different. As we enter the important holiday season, we will continue to support our brands with strong marketing campaigns to make sure that we maximize sell-through for our watches and jewelry during the most important selling period of the year. In Movado, we are excited to introduce our new Alpha collection, which represents the Pinnacle product in Movado’s assortment. Alpha is inspired by the rich heritage of the Movado brand and incorporates luxury features, including ceramic bezels and Movado automatic chronograph movement. As part of our elevation strategy, we will continue to expand our most aspirational product offerings, particularly in Swiss-made mechanical movements. To support our bold assortment, we have also introduced our first ball automatic versions in bold Fusion automatic. We are excited about our holiday television campaign that we launched just last week featuring our BOLD Verso watches for him and her. This campaign will be complemented with our first major influencer campaign that was launched last month and will run through the holiday season. On the digital front, our movado.com website continues to play a significant role in the ongoing development of the Movado brand, even as consumers return to brick-and-mortar locations. For the first 9 months of this year, our movado.com sales were down 14%, but up 56% ahead of 2 years ago. In our licensed brands, we delivered 11.6% sales growth on a constant currency basis against the background of slowing economies in our largest markets in Europe. We continue to offer compelling innovation across our brand portfolio and we are driving demand, both online and in-store. We continue to see strong results in Mexico, Brazil, and the Middle East, and India as well. In China, we are still seeing the impact of the ongoing pandemic closures. In Tommy Hilfiger, we continue to drive results with regional influencers and associations in key markets. We received a strong reception on our advertised family miles and with a vintage-inspired multi-eye blue dial on a mesh bracelet and Luca, a 50-millimeter sport-inspired family. In HUGO BOSS, we have continued to see the momentum of the parent brand’s repositioning and it continues to resonate with our consumers as exhibited by the successful introduction of two new families, Spear and Purity. We continue to collaborate with the BOSS influencers, the connect with the consumer in our visual associations as well as venues like TikTok, where BOSS watches are being worn by Khaby, who is one of the most followed individuals on the platform. In Coach, we introduced the Katy tank family, which is modeled after Coach’s iconic badge logo and is worn by Coach Ambassador, Jennifer Lopez. We are continuing to drive our Coach online business in China with associations with key online digital influencers. We are excited to introduce the third generation of our iconic 1212 family in Lacoste during the third quarter. 1212 is inspired by the iconic Lacoste polo shirt. This new collection is already off to a fast start. In addition, we just introduced Lacoste jewelry, and we are already seeing strong sell-through. We continue to roll out the launch of our Calvin Klein brand in watches and jewelry, and we are seeing a strong response from consumers, especially on the watch front. Women’s represents about 50% of the watch sales. Men’s watches about 33% and are for everyone segment, about 17%. We will support our key European markets with billboard advertising as well as digital efforts for the holiday season. We continue to make progress in developing our strategic plans for MVMT and Olivia Burton and in building out our teams in an evolving retail market. We are encouraged by the progress that we are making on the innovation and product component of both brands at higher price points. In MVMT, we have seen success with our Raptor automatic, which at $500, is our most expensive MVMT ever, and we will sell out our collaboration with the Hello Kitty brand, which includes watches and sunglasses. In Olivia Burton, we are also elevating price points. And while the UK continues to be economically challenged, we have gotten a strong response from retailers to our newness that is arriving for the holiday and additional newness that will be arriving next spring. As we think about the balance of the year, we believe that the intended consequences of central banks to tamp down inflation are beginning to take effect and economies around the world are beginning to slow. There continues to be a heightened risk of a recession and retailers and consumers are becoming increasingly cautious. The level of uncertainty makes it more challenging to forecast results for the upcoming holiday season, and we have revised our outlook to reflect our cautious posture. Within this context, we are navigating a retail environment with reduced visibility, and we will focus on controlling the things that we can control. We will tightly manage expenses while continuing to support the long-term growth opportunities for our business. We will protect gross margins and focus on continuing to drive profitability and positive cash flow. We have managed our balance sheet very effectively, and it puts us in a strong position to navigate an increasingly volatile retail climate. Our teams have done an excellent job of executing against our strategic objectives and our focus on managing our inventory, expenses, and gross margins while maximizing our sales. I would now like to turn the call over to Sallie.
Sallie DeMarsilis: Thank you, Efraim, and good morning, everyone. For today’s call, I will review our financial results for the third quarter and year-to-date period of fiscal 2023, and then I will provide an update to our outlook for the year. My comments today will focus on adjusted results. Please refer to the description of the special items included in our results for the third quarter and year-to-date period of fiscal 2023 and fiscal 2022 in our press release issued earlier today, which also includes a reconciliation table of GAAP and non-GAAP measures. Additionally, given the significant currency impact on our results, where appropriate, sales will also be provided on a constant currency basis. We are pleased with our overall performance for the third quarter of fiscal 2023 despite being negatively impacted by the continued strength of the U.S. dollar and by intensifying economic pressures in certain key markets as the quarter progressed. Our financial performance was highlighted by an increase in global net sales on a constant currency basis, strong gross margin, and operational discipline. We once again ended our quarter with a strong balance sheet. For the third quarter of fiscal 2023, sales were $211.4 million as compared to $217.7 million last year, a decrease of 2.9%. In constant dollars, net sales increased 3.4% to $225.1 million. This increase in constant dollars reflects growth in our licensed brands, which included Calvin Klein and in our company stores was partially offset by a decline in our owned brands. U.S. net sales decreased 5.9% with decreases in both the company’s wholesale customers in the owned brand category and an online, partially offset by an increase in company store sales. As Efraim mentioned, we are seeing the effects inflation is having on the consumer in the U.S. as well as in key international markets. International net sales decreased 0.7% as compared to the third quarter of last year. On a constant currency basis, International net sales grew by 10.2%, with strong performances across all international regions, although we started to see softening in key markets as the quarter progressed. Gross profit as a percent of sales was 57.3% compared to 57.7% in the third quarter of last year. The 40 basis point decrease in gross margin was primarily driven by the unfavorable impact of foreign currency exchange rates and increased shipping costs, offset by favorable channel and product mix. Operating expenses were $82.1 million as compared to $83.4 million for the same period of last year. The decline was driven by a decrease in performance-based compensation and lower marketing expenses, partially offset by an increase in payroll-related expenses. For the 3 months ended October 31, 2022, fluctuations in foreign currency exchange rates related to our foreign subsidiaries positively impacted operating expenses by $1.7 million when compared to the prior year period. As a result of the decrease in sales and gross margin, partially offset by the decrease in operating expenses in the third quarter, operating income was $38.9 million as compared to $42.2 million in the third quarter of fiscal 2022. We reported income tax expense of $8.6 million in the third quarter of fiscal 2023 as compared to $9.7 million in the third quarter of fiscal 2022. Net income in the third quarter was $29.8 million or $1.31 per diluted share as compared to a net income of $32.1 million or $1.36 per diluted share in the year ago period. Now turning to our year-to-date results. Sales for the 9-month period ended October 31, 2022, were $557.6 million as compared to $526.4 million last year. In constant dollars, the increase in net sales was 10.9%. International sales increased 13.1% or 22.3% on a constant currency basis, U.S. net sales declined by 2.3%. Gross profit was $324.6 million or 58.2% of sales as compared to $298.2 million or 56.7% of sales last year. The increase in gross margin rate for the first 9 months was due to favorable channel and product mix, partially offset by unfavorable changes in foreign currency exchange rates and increased shipping costs. For the 9 months ended October 31, 2022, operating income was $96.4 million compared to $81.8 million in fiscal 2022. As a percent of sales, operating income was 17.3% in the first 9 months of fiscal 2023 as compared to 15.5% in the first 9 months of fiscal 2022. Net income was $73.5 million or $3.19 per diluted share as compared to $62.2 million or $2.63 per diluted share in the year ago period. Now turning to our balance sheet, cash at the end of the third quarter was $186.7 million as compared to $201.8 million of the same period of last year. Accounts receivable were $135.6 million, down approximately $800,000 from the same period of last year. Inventory at the end of the quarter was up $44.3 million or 25.9% above the same period of last year, primarily due to the timing of receipts and the addition of approximately $8 million of Calvin Klein inventory. We are comfortable with the level and composition of inventory at the end of the third quarter. And based upon anticipated receipts and net sales in the fourth quarter, we expect inventory levels at year-end to be more in line with historical levels. In the first nine months of fiscal 2023, we repurchased approximately $28.2 million or 795,000 shares under our share repurchase program. Capital expenditures for the nine-month period were $4.7 million and depreciation and amortization expense was $8.2 million, which included $2.1 million related to the amortization of acquired intangible assets of Olivia Burton and MVMT. Now, I would like to discuss our outlook. In addition to currency headwinds, we are also experiencing a weaker spending environment in key markets. Although we are strongly positioned heading into our fourth quarter, we are revising our outlook as a result of the uncertain retail environment. Our net sales are currently expected to be in the range of $740 million to $750 million. We continue to expect gross profit of approximately 58% of sales for the year. Given the strong first nine months and our focus on profitability, we currently expect operating income in a range of $120 million to $125 million. We now anticipate a 23% effective tax rate. This updated outlook does not contemplate significant further impact of increasing inflation or geopolitical unrest and assumes no further significant fluctuations from prevailing foreign currency exchange rates. I would now like to open the call up for questions.
Operator: [Operator Instructions] Our first question is from Oliver Chen with Cowen & Company. Please proceed.
Tom Nass: Hi. It’s Tom Nass on for Oliver.
Sallie DeMarsilis: Hi Tom.
Tom Nass: Thanks for taking the question. On the gross profit guidance reconfirmed at 58%, could you guys elaborate on that given the lowered revenue guide? What efficiencies do you expect in targeting this? And additionally, with regard to FX, how do you expect that to impact revenue and gross margin over the following quarter?
Sallie DeMarsilis: So, I will start with the gross margin question, and Efraim will pick up. So, we have had a very strong gross margin all year. We will continue that into the fourth quarter, which is a heavy direct-to-consumer period for us. But we have had a very strong mix and expect that our – to not be heavily promotional in the fourth quarter. So, we expect a very strong gross margin to continue. We are anniversarying tough numbers from last year. So, we are guiding to 58% for the entire year. And your question on…
Tom Nass: With regard to how that should impact revenue and also gross margin?
Sallie DeMarsilis: Right. So, I will take that, and I am sure Efraim will pop in a little bit with a fill. So, we are using the current FX rate for our guide for the fourth quarter. We know we have had a very significant shift in currency, most significantly in the third quarter. And heading into the fourth quarter, we are using what we are aware of today. FX does impact our gross margin significantly, and that also is in our outlook guide, if you will, most certainly because of the complexity of our international business, multicurrency and having our supply chain also being in Switzerland and in Hong Kong.
Efraim Grinberg: And currency, as I stated earlier in the call, has had an effect – a material effect on our sales this year because all of our European sales get translated back into U.S. dollars at a stronger dollar rate. And that shift throughout the year and especially in the third quarter, has been material.
Tom Nass: Great. And then could you guys talk a little bit about gas prices and retail traffic trends you are seeing across channels and geographies? We have seen some slight moderation in gas prices in the U.S., but just curious as to how you expect that to play out?
Efraim Grinberg: Sure. So, I think you have a combination of variables and factors playing into the consumer this coming holiday season. One is last year, they were told to buy earlier, they would be – or they would run – people would run out of products. So, I think you are going to see a later Christmas this year than we saw last year, which was not the regular pattern of the past. I think gas prices have moderated, but there are also – consumers are also now seeing inflation continue on the food side. Eventually, I believe all of these factors will moderate, but it’s just going to take some time. And particularly, I think at the middle income and upper middle income consumer inflation has taken a toll as a greater part of their income is focused on required goods like gas and food, and rent versus discretionary items.
Tom Nass: And one last question. On a sequential basis, inventory growth appeared relatively flat. Can you speak to the freshness of your inventory and then provide some details on pricing trends ahead of the holiday season?
Efraim Grinberg: Sure. So, our inventory is in very good shape. And the – so we did get receipts in early throughout the year. And we expect it to drop in the fourth quarter, but it is a very clean inventory in terms of newness and quality of inventory. So, we have no concerns about that. What was the second part, pricing trends, so we did pass some price increases early in the year and that did help offset some of the currency headwinds that we were facing, especially in Europe. And I believe that now it will stay stable for a while, and I don’t anticipate any more of that. I think you will see a more promotional holiday season from retailers. But our own intention is not to be more promotional on our side.
Tom Nass: Great. Thank you very much.
Operator: There are no questions at this time. I would like to turn the conference back over to Efraim for closing comments.
Efraim Grinberg: Okay. Well, thank you very much everybody and I wish everybody a great Thanksgiving holiday, and we look forward to talking with you again after our year-end. Thank you again.
Operator: Thank you. This does conclude today’s conference. You may disconnect your lines at this time and thank you for your participation.